Operator: Good day, and thank you for standing by. Welcome to the Meituan Fourth Quarter and Full Year 2021 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speaker's presentation there will be the question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Scarlett Xu. Please go ahead.
Scarlett Xu: Thank you, operator. Good evening, and good morning, everyone. Welcome to our fourth quarter and fiscal year 2021 earnings conference call. Joining us today are Mr. Xing Wang, Chairman and CEO; and Mr. Shaohui Chen, Senior Vice President and CFO of Meituan. For today's call, management will first provide a review of our fourth quarter results and fiscal year 2021 results and then conduct a Q&A session. Before we start, we would like to remind you that our presentation contains forward-looking statements, which include a number of risks and uncertainties and may differ from actual results in the future. This presentation also contains unaudited non-IFRS financial measures that should be considered in addition to and not as a substitute for measures of the company's financial performance prepared in accordance with IFRS. For a detailed discussion of risk factors and non-IFRS measures, please refer to the disclosure documents in the IR section of our website. Now I will turn the call over to Mr. Xing Wang. Please go ahead, Xing.
Xing Wang: Thank you, Scarlett. Hello, everyone, and welcome to Meituan's fourth quarter and full year 2021 earnings call. For the full year of 2021, our total revenue increased by 56% year-over-year to RMB179.1 billion. We continue to innovate and leverage technology to provide consumers with a more diverse and high-quality services. We are delighted to see that our annual transacting users increased to 690.5 million by the end of 2021. The average number of transactions - transacting user increased to 35.8 in 2021 from 28.1 in 2020, despite the COVID macro impact. Meanwhile, we will commit to assist in small and medium-sized merchants, which help accelerate the digital transformation across various service categories. Since the onset of COVID, we have also rolled out various measures to support different types of merchants. As a result, our annual active merchant increased to 8.8 million as of Q4. We upgraded our corporate strategy from food plus platform to retail plus technology, further expanding our goods and services metrics, as well as improving our service quality, exploring the retail business. We expanded our services to rural areas and less developed markets and provided rural residence with a much wider variety and quantity of value for money products, including fresh produce and daily necessities. We remain absolutely focused on supporting our ecosystem partners and creating more valuable society to fulfill our mission to help people eat better, live better. And first, let's look at food delivery. We achieved a strong growth despite external challenges, including sporadic COVID cases in wide regions, extreme weathers and macro headwinds. In 2021, our total food delivery orders grew by 42% year-over-year, [indiscernible] orders exceeding 50 million orders in August, an important milestone and subsequently reaching historical highs yet again during the end year end holidays. We are delighted to see that food delivery is becoming a more routine and habitual lifestyle for daily consumption choices. One thing that we continue to do well is identifying evolving consumer needs, demands and preferences, while promoting growth of these emerging consumption categories. For example, in Q4, we launched our merchant supportive scheme dedicated to light meals and healthy food merchants, which help more light meals merchants successfully launch their food delivery services and promote healthy eating habits. As a result, order volumes of light meals, salads and healthy food category in Q4 grew by a 2-year CAGR of nearly 45%. The annual order contribution from breakfast, afternoon teas and late-night snacks also increased steadily in year-over-year, as we further diversified our supplies. We also effectively addressed even more diverse and individualized consumer demand, leading to healthy growth in a number of consumers and transaction frequency throughout the year. Our food delivery annual transacting user reached around 440 million as of Q4, with the annual transaction frequency up by 25% year-over-year. During 2021, we continue to provide the merchants with diversified services and support, helping them improve online operations and generating more income amidst macro challenges. During COVID, food delivery was a critical source of additional revenue for small or medium-sized restaurants. For these merchants, the majority of the cost base consists of rental and labor costs, et cetera, which are more fixed in nature. Our food delivery services provided a unique value and helping this restaurant merchants widen their service average and generate additional revenue in terms of lowering the unit cost of operation, especially when online traffic was affected by - when online was affected by COVID control measures. In May 2021, we also rolled out a new fee structure to promote more transparent pricing and clearer cost structure for merchants, benefiting the majority of the small and medium-size merchants on our platform. Furthermore, we provided dedicated support in order to help newly onboarded merchants, staff delivery operations, faster and more efficiently. We also expanded the service scope of our Food Delivery Manager [indiscernible] program in over 50 cities, improving merchants' operational efficiency and providing them with comprehensive services to cover most aspects of own operations. The program was effective in increasing merchant food delivery transaction value by 75% during the implementation period for the participating merchants. Consequently, our quarterly annual active merchants scale further expanded and the number of high-quality merchants increased by nearly 45% in Q4. For our food delivery couriers, we take their welfare and interest at our top priority. During 2021, we struck relentlessly to provide better security and ensure an adequate benefit for our couriers. Our managers initiative improved optimizing our order dispatch system and algorithm rules to ensure COVID safety and allow more flexibility, holding more courier skit [ph] at panel sessions for better communication and increasing incentives and benefits to couriers during the adverse weather conditions, providing scholarships for couriers who undertake further education or wish to receive higher degrees and supporting couriers and their families financially in such needs through various therapy programs and dedicated funds. In addition, we are fully committed to supporting the launching and implementation of occupational injury insurance at program. We will fulfill our responsibilities by actively participating in this pilot program under the regulator's guidance, while also ensuring that the pilot program meets the planned - timeline and that we cover all the expenses of participating couriers. Going forward, we will also provide couriers with a more comprehensive welfare schemes and social securities and continuously improve their well-being. Now let's move to our in-store hotel and travel segment, which achieved a solid growth in 2021. During 2021, we continuously expanded the number of high-quality merchants and categories for our in-store business, while providing merchants with more tailored products and services to meet their differentiated needs. Moreover, to further deepened coverage in lower tier cities and accelerated local service digitization in under penetrated markets. Consequently, a higher number of merchants chose our platform as their preferred partner for online operation, driving our in-store annual active merchants to record highs in Q4. To stimulate consumption demand and further enhance consumer mind share of Meituan as we go-to destination for local services, we organize the various marketing and promotional activities along with different holidays in 2021. The Christmas and New Year holiday with an exceptional success with both order volume and GTV hitting record highs on the last day of 2021. At the same time, the COVID control measures normalizing, we continue to capture constantly evolving consumption trends. In 2021, we launched more categories for our in-store business, further enriched merchants and product selections. Growth in new consumption trends is notable. A wider range of convenience and innovative activities and services emerged to meet people's desire to live better. Looking back, you noticed the emergence of a dozen of new and diverse lifestyle services that are creating more opportunities across different categories, including leisure and entertainment sports, elderly care, medical care and more. Furthermore, we provided consumers with increasingly convenient and diversified products. For example, we brought more COVID testing services online, establishing a proper test efficient system and bringing great convenience to the public. We also tailored services to the younger generations, especially aged from 10 to 1 to 13, counting and promoting new leisure categories such as handicraft activities, music, recording, aquatic and autonomous restaurant, via interactive live shows, stress relief, traditional costume experiences and talk shows and so on. 2021 remained a challenging year for the hotel and travel business industry, as sporadic COVID cases tied to travel restrictions, massive demand. Nevertheless, our hotel and travel business achieved a strong recovery from 2020 with the total domestic room nights growing by 35% year-over-year. In the low star segment, we further facilitated the digital transformation of hotels, or more users from offline channels to the online platform and cultivated consumer mindshare of Meituan as the go-to platform for hotel reservations. We also made a solid progress in the high star segment. For the full year 2021, room night and division for high star hotels exceeded 16.5%. Thanks to our continuous improvement in high star brand and optimize the pricing strategies, as well as improve the consumer service quality. We also explored various tactics around the high star segment, such as a diversified the practice use data to products and marketing collaboration with tourist destinations and impact. In addition, we helped the hotel chains establish flagship stores on our platform and promoted through the membership. Now moving on to new initiatives. As our corporate strategy was upgraded to retail plus technology, we expanded from services retail to good retail with a key investment focus on the latter. First, let's look at Meituan Select [indiscernible] our community e-commerce business. During 2021, we continue to iterate our business model, while complying with the regulatory requirements. We achieved a solid business growth and market-leading position. We expanded product offerings, strengthened the various aspects of our long-term capabilities, improved operating efficiencies and unit economics and help to create value to all participants in the ecosystem. Specifically, we provided consumers from rural areas with convenient access to a wider selection of value-for-money products. Our fresh produce direct sourcing program allowed us to effectively match production and demand, reduced intermediary cost and in turn, widen farmers contribution - distribution channel and increased their revenues. We also launched a new program that aims to help agricultural merchants improve cultivation techniques and provide the vocational trainings. In addition, we created job opportunities for local residents in areas such as logistics, warehousing and processing centers, and we provided flexible jobs as to become station managers. During the unprecedented floods in Henan province, as well as regional COVID cases such in some part of China, Meituan Select helped to provide a reliable supply of food necessities to the people in need. Going forward, we will continue to improve our products and services, strengthen our long-term capabilities, enhance operating efficiency to strive for high-quality growth. Meituan Instashopping, as Meituan Shango [ph] also delivered another stellar growth in 2021, with the highest daily order volume exceeding 6.3 million orders in December. On the consumer front, we converted a large number of high-quality delivery consumers with a strong consumption power in Meituan Instashopping consumers. This was exemplified by the growth in Instashopping's ATU, annual transacting user, which reached around 230 million in 2021. Meanwhile, we continue to expand our operations in lower tier and underdeveloped markets. More consumers in these markets can now enjoy the convenience of have everything delivered to their doorstep, thanks to our nationwide on-demand delivery network. On the merchant front, we continue to develop our supply chain expanded categories, of which flowers and supermarkets continue to be a high growth trajectories. Our 24/7 medicine delivery service continue to receive positive consumer feedback, as we successfully addressed our consumers' overnight medication needs. The number of 24/7 pharmacies on our platform reached a new high in Q4 and average daily night time orders and night time prescription medication orders both achieved a triple-digit year-over-year growth. At the same time, we cooperated with a wide range of merchants such as Xiaomi [indiscernible] to further expand quality supplies. And now let's talk about Meituan Grocery, that's Meituan [indiscernible] our self-operated model completed coverage of further optimized operation in existing tier 1 cities in '21. This growth was notable with increasing transaction volumes and average order value, as well as improved operational efficiency. For the full year of 2021, GTV and annual transacting user grew by over 160% and 80% actively year-over-year. On the supply side, we provided more diverse SKU selections and actively explored new products, such as to customized products, pre-made dishes and directly sourced products. For logistics, we refined the delivery station operations and continue to enhance warehousing operations and distribution efficiency. Looking back, in 2021, we remain committed to the digital transformation of the retail industry and carry out our social responsibilities alongside the industry development. Following our upgraded retail plus technology strategy, we extended from services retail to good retail and also expanded our network of partners from mainly urban and county-based merchants to include rural-based new farmers. In addition, our strategic upgrade and new initiatives help to promote rural revitalization as we further develop our services network beyond hundreds of [Technical Difficulty] villages in China. Furthermore, we create a wide range of job opportunities, while placing particular emphasis on the welfare needs of flexible workers, leveraging technology to play a part in the digital transformation of the retail industry to help merchant to reduce cost, increase revenues and allow more consumers to enjoy better goods and services at a lower prices, while fulfilling our mission to help people eat better, live better. Meanwhile, Meituan has developed cutting-edge technology that will allow us to operate innovatively in future and such as by autonomous delivery vehicles or through drones. We also hope to use the broader robotic technology to further elevate consumer experience in power local service merchants. We will further accelerate the digital transformation of local services and retail industries and strive for continuous technological development. In 2022, we will focus on high-quality growth due to fundamental capabilities for long-term development, help more micro merchants to deal with the difficult times, bring more convenience to people's lives and more importantly, that to build our social responsibilities based on the overall fuel situation economic development goals, and truly creating more values for our society at large. With that, I will turn the call over to our CFO Shaohui Chen, for an update on our latest financial results. Please go ahead.
Shaohui Chen: Thank you, Xing. Hello, everyone. I will now go through our fourth quarter financial results. During the fourth quarter, our total revenue reached RMB49.5 billion, increasing by 30.6% year-over-year. In fact, on a year-over-year basis, both our food delivery business and our in-store hotel and travel business segment grew resiliently in the midst of surging of COVID cases and a challenging macro environment. As a percentage of total revenue, cost of revenue was 75.8% this quarter, up from 75.1% in the prior year period, but down from 77.9% in the prior quarter. The slightly increase year-over-year was mainly due to a change in revenue mix as new initiatives and stage of exploration weighted [ph] heavier in our entire business portfolio. The sequential decline was mainly due to the improved gross margin of new business, as we continue to improve operating efficiency. Selling and marketing expenses as a percentage of total revenue was 22.7% this quarter, up from 20.2% in the prior year period, but down from 23.3% in the previous quarter. The year-over-year increase was primarily due to the increased promotional expenditure and higher employee and benefit expenses driven by the new initiative expansion. The sequential decline was mainly attributable to the reduction in user incentives in food delivery business. R&D expenses as a percentage of total revenue increased to 9.3%, up from 8.6% in the prior year period, but down from 9.7% in the previous quarter, while G&A expenses as a percentage of total revenue remained stable on both the year-over-year and quarter-over-quarter basis. Our food delivery and our in-stock, hotel and travel segments continue to demonstrate resilience during a challenging quarter, realizing an aggregate operating profit of RMB5.6 billion during the quarter, increasing from RMB3.7 billion in the present year and RMB4.7 billion in the prior quarter. Our total operating loss further expanded year-over-year due to our retail business expansion. However, as we improved operating margin across all business segments, our total operating loss narrowed by 25% to RMB5 billion this quarter on a sequential basis, excluding the one-off impact from the fine imposed pursued to China's anti monopoly law. On a consolidated basis, both adjusted EBITDA and adjusted net loss experienced negative year-over-year growth, but improved sequentially to negative RMB2 billion and RMB3.9 billion this quarter, respectively. Now let's move on to our segment reporting, starting with food delivery. During Q4 as COVID cases surged, stricter pandemic prevention measures and a further slowdown of the catering industry continued to negatively impact the overall volume growth of our food delivery business, especially demand from price-sensitive users was suppressed during the current challenging time. Nevertheless, we are pleased to see that both the scale and the transaction frequency of mid and high end consumption frequency users making solid growth. This health growth momentum was the result of the expansion of high-quality supply on our platform, as well as the effectiveness of our optimized marketing and operating strategy. The average transaction frequency and stickiness of food delivery membership subscribers also further improved during the quarter. As a result, average daily order volume during the fourth quarter grew by 17.4% year-over-year even on a high comp from last year, representing a 2-year CAGR of 25%. Meanwhile, with merchants increasing digitalization, food delivery has evolved into a major growth driver for their business operations, leading more and more merchants to upscale their online marketing campaign. At the same time, we continue to iterate online marketing tools to elevate the effectiveness of merchant online marketing on our platform. The expansion of our online marketing merchant base and higher margin - higher budgets allocated for online marketing by these merchants drove the health [ph] year-over-year growth of online marketing revenue. In addition, we adjusted our operating strategy and focused on high-quality growth during this challenging period, resulting in a significant reduction in our user side subsidy ratio during the quarter. As a result, monetization rate increased on both quarter-over-quarter and year-over-year basis to 13.9%, while our revenue increased by 21.3% year-over-year. During the quarter, both operating profit and operating margin improved meaningfully on both a year-over-year and a quarter-over-quarter basis to RMB1.7 billion and 6.6%, respectively. The year-over-year increase was primarily attributable to our larger business scale, fewer seasonal incentives for courier and higher online marketing revenue contribution. The quarter-over-quarter improvement was mainly due to the reduction in user incentives and lower seasonal incentives for couriers. Now turning to our second segment, in-store hotel & travel. The negative impact brought by the surge in COVID cases and the unfavorable macro environment has weighed, especially heavily on hotel booking and travel conception. Nevertheless, our in-stock, hotel & travel segment's revenue still grew by more than 22% year-over-year, transaction volume, GTV and annual active merchants continue to reach new highs for our in-store business. New consumption trends in pet care, health care, life services and more still exhibited strong growth momentum with each category's revenue growing by 60% year-over-year. This robust performance further demonstrate our strong consumer mindshare for exploring diverse local services, while also reflecting the importance of our platform as a channel for local service merchants to attract users and increase revenue. More importantly, this also illustrates the growth resilience and digitalization opportunities of the overall local service industry in China, as pandemic prevention measures and controls became normalized. Both our in-store dining and other local services achieved strong growth, as evidenced by more than 30% year-over-year growth of our in-store business, GTV and revenue. We continue to onboard a record number of merchants from a wider range of category to our platform. Meanwhile, we also constantly iterate transition-based product and launched a diverse marketing event. As a result, year-over-year growth of our in-store business commission revenue exceeded 33% during the quarter. Online marketing revenue for our in-store business also grew by more than 30%, mainly driven by a higher adoption rate of online marketing products by merchant. With respect to our hotel business, domestic room nights consumed on our platform decreased by 3.7% year-over-year in the quarter as a result of strict travel restrictions and consumers to reduce demand for travel, especially long distance and business-related travel. But thanks to our structural advantage and strategic focus in the domestic travel market. Room nights for local accommodation and intracity travel scenarios achieved a 2-year CAGR of nearly 50% during the quarter. Meanwhile, room night contribution from high-star hotels also further increased on a year-over-year basis as we continue to strengthen our collaboration with high-star hotels, enhance our user service quality and augment the supply on our platform. Operating profit for our in-store and travel business increased to RMB3.9 billion during the quarter, representing a year-over-year growth of 38%. Operating margin improved on both year-over-year and quarter-over-quarter basis to 44.7%, mainly attributable to the improved operating efficiency, smaller revenue contribution from hotel business and lower promotional expenses for hotel and travel business. Now let's turn to new initiatives and others. During the period, revenue in this segment increased by 58.7% year-over-year to RMB14.7 billion, driven by the continuous investment in our new initiative to satisfy consumers' diverse needs and different consumption scenarios. The increase in revenue came mainly from our retail business and B2B food distribution services, Operating loss for this segment narrowed sequentially to negative RMB10.2 billion during the quarter, while operating margin increased by 10 percentage points quarter-over-quarter to negative 39.5%, as we continue to optimize our operation. Our retail business remains our key area of investment during the quarter with a focus on high-quality growth. Our community e-commerce business delivered healthy increase in both GTV and sales volume on a sequential basis. While operating loss as a percentage of GTV continued to narrow compared to the third quarter. Operating loss for our community e-commerce business narrowed sequentially for the first time, illustrating our continued improvement in product mix and operating efficiency. At the same time, the other retail business also made positive progress. Meituan's Instashopping continued to deliver healthy revenue growth, while Meituan's Grocery operating margin improving meaningfully on a sequential basis, driven by marketing efficiency improvement and product mix improvement. Furthermore, we are also pleased to see that many of our other initiatives, including B2B food distribution services, ride-sharing services, RMS [ph] business and more all experienced efficiency gains during the period. As a result, both the operating loss and operating margin of this business further improved when compared to the last quarter. Now turning to our cash position. As of December 31, 2021, our cash, cash equivalent, as well as short-term treasury investments totaled RMB116.8 billion. Additionally, our operating cash inflow fell to RMB1.6 billion from RMB4.6 billion during the same period of 2020, which was primarily attributable to our increased loss before income tax. To conclude, I would like to mention that the local service industry underwent many challenges during 2021. Helping our partners within our ecosystem to overcome difficulties was our top priority during the last year, and it will continue to be so in 2022. During 2021, we further improved the wealth, sale and security of our couriers. Furthermore, we facilitate the digitalization of local service merchant business, help them to acquire customers and increase their revenue on our platform. With a greater supply diversity, our platform provided the public with more convenient and innovative service and products, creating new forms of digital life. Our two main business, food delivery and in-store, hotel travel, performed resiliently and achieved new milestones during the past challenging year. More importantly, the scale of both transiting users and merchants on our platform improved meaningfully, laying a solid foundation for the sustainable long-term growth of our business. Concurrently, under our retail plus technology strategy, we have made significant progress in multiple retail business, while building our long-term capabilities in a number of areas. Overall, we remain confident in our ability to see the long-term opportunity and achieve sustainable growth, and we'll take this opportunity to create further value for our partners within our ecosystem. With that, we are now open for your questions.
Operator: Thank you. [Operator Instructions] The first question comes from the line of Ronald Keung from Goldman Sachs. Please ask your question.
Ronald Keung: Thank you. Thank you, Xing, Shaohui and Scarlett. So I want to ask a question on food delivery. So we noticed that there's additional food delivery revenue disclosure for the first time, separating commissions and delivery services. And if I add those together, these revenues were actually smaller than your food delivery segment related costs. So considering the recent NDRC and government policy guidance, I just want to hear, will you further reduce the commission side - commission rates? What measures will you be implementing or planning? And how would these measures affect the business? Thank you.
Xing Wang: Yeah. Thank you, Ronald. Yes, we understand that there's a lot of focus on this lately. Actually, we have already launched our new food delivery fee structure in May last year. And breaking down platform [ph] services fee into technology service fee and delivery service fee to be more transparent, and response to government's score to – this is small or medium time merchants. So we charge a technology service fee, the so-called commissions at a fixed rate, meaningful merchant information display services for using our marketplace. For merchants that choose to use our delivery services, we charge a delivery services fee is calculated based on average order value, itinerary distance, time of delivery and to partially cover delivery-related costs. And operating costs for delivery station and orders dispatching and et cetera. Under the new fee structure with clear and transparent how these are calculated. The merchant has the option to choose whether to use our delivery service for each order based on their needs. As a result, a delivery service fee for orders within 3 kilometers reduced in benefiting the majority of the small and medium-sized merchant restaurants. And this quarter to reflect this new fee structure that allow everyone to better understand our cost structure and revenue mix, we adjusted food delivery revenues disclosures and presented the revenues into the following categories. First, the food delivery services revenue from both the merchant side and consumer side for our first party model, which we organized, provided deliver services. And second, commission revenues purely represented for the technology service fee from our merchants and third-party agents, who used our food delivery platforms. And third, online marketing services revenue from merchant side, majority of which is performance-based. We wish to clarify that unlike most platforms, we not only provide the merchants with online platform services, transaction and online marketing, we also provide on-demand delivery services that has a real cost. In addition to paying our - for their services, we also bear the cost for all the dispatching delivery services management and more. Meanwhile, we need to continuously invest in with R&D for algorithm optimizations. So in fact, the delivery service revenue we collect from both the consumers and merchants so far are not enough to cover their full deliver related costs that we pay to couriers. And taking their fourth quarter of 2021, as an example, the commission or technology service fee we charged at platform is a relatively stable and reasonable rate. We expect to keep this rate stable, while continuously optimizing the fee structure to better support small merchants and short distance orders. Majority of our food delivery revenues come from delivery services fee. Our first-party model, for which we organize and provide food delivery services accounted for about 67% of total food delivery transactions. While we charge delivery services fee from both consumer - merchants and users for first-party orders, we also need to pay corresponding delivery related costs and provide consumer incentives to stimulate their consumptions. During the fourth quarter, delivery service revenue was RMB14.3 billion, which was far below our food delivery related cost of RMB18.3 billion, implying more than RMB1 shortage per order. In fact, we are using part of our commission revenue to cover the delivery cost, which is paid to the couriers. However, we will continue to enhance our delivery network and capacity, although delivery service itself is yet to turn profitable because we think providing delivery service creates great value to merchants, especially during macro challenges. As the majorities of the merchants we currently serve, especially small and medium-sized merchants, they do not have their own delivery capacity. Given the service coverage just because this service is not profitable, merchants without a self delivery capacity, will not be able to expand their service geography - geographic coverage and has increased revenue through online operations. Also by providing delivery services, we substantially increased the selection available on our platforms and bring more values to consumers, while creating a greater number of opportunities for couriers and increasing their source of income. And the importance of restaurants to overall economic growth and the development of our food delivery business cannot be stressed enough. We have always committed to creating holistic value for our merchants. Given the recent unfavorable external environment, has brought us severe challenges to the operation of restaurants, especially to small and medium-sized restaurants. We will carry out our responsibilities, contribute more to assist them and overcome difficulties together. We have been in proactive and constructive dialogues with the regulators on March the 1st, under the guidance of the government we have announced our merchant supporting measures, which will be valid throughout this year to support small and medium merchants who are COVID impacted or facing business difficulties. The key measures includes reducing technology service fee for suffering small to medium merchants in mid and high COVID risk areas, offering cap [ph] service fee rate to broader struggling small or medium merchants and the difficulties. And providing free digitization services and tools and more. Meanwhile, we already rolled out the new fee structure in all of our directly operated cities last year, which benefited majority of the small and medium size merchants. This year, we will collaborate with all of our business agents in lower-tier cities and ensure the full coverage of this new fee structure nationwide at the end of this year. In 2022, we will also host [indiscernible] to maintain broad communication with the merchant and to understand their pain points, listen to their suggestions and help them better run their businesses. Overall, we believe the food service industry will gradually recover, as the macro environment gets better. We will continue to provide merchants with diversified services and support, including our food delivery manager [indiscernible] helping them improve online operations and generating more income amidst macro challenges. This in turn will help us improve the variety and quality of food delivery supply on our platform and better meet consumers' demand and promote market prosperity. That's all, thank you.
Ronald Keung: Got it. Thank you, Xing.
Operator: Thank you. The next question comes from the line of Thomas Chong from Jefferies. Please ask your question.
Thomas Chong: Hi, good evening. Thanks, management for taking my questions. We see the growth rate of your primary business decelerated this quarter. What are the reasons behind that? Is this mainly due to the COVID or Medco [ph] Can you share the recent performance. And will you also consider scaling back your investment in the new business as the growth of the primary business are facing challenges? Thank you.
Xing Wang: Thank you, Thomas. Yeah, overall, they are still down in our primary business in Q4 versus Q3, so primarily due to the strict COVID control measures. Meanwhile, current macro environment also had a negative impact on our business to a lesser degree. In fact, our primary businesses showed more resilience growth compared to other consumption-related businesses. This is mainly because our in-store businesses have broad categories average. Most of the consumers' demand for delivery – food delivery is in elastic and our platform overall provides relatively lower ticket sizes services. For food delivery, first, other few cities, including [indiscernible] and so on, so cases surging in Q4 with the subsequent tightened recovery control measures and where high-risk communities were lock down, residents were restricted for going out and deliveries were not allowed beyond the product case. As a result, in convenience and user experience of food delivery services were significantly negatively impact, especially in winter, resulting in suppressed consumer demand. In addition, given the macro environment, [indiscernible] users may choose other any options for reducing food delivery purchase frequency. And nonetheless, we are pleased to see that the scale and transactions frequency up mid and high frequency users continue to grow. Additionally, our food delivery membership subscribers thickness and transaction frequency have also further increased, driving the resilience growth in Q4 with order volume achieving a 2-year CAGR of nearly 25%. During the year-end holiday period, food delivery order volume reached a new high, exceeding 53 million orders per day. Order volume for the tea average and profit categories all increased by over 100% year-over-year during the period. And order volumes of cakes and dessert categories also grew by more than 60% year-over-year. The proportion of orders contributed by the high-frequency users increased meaningfully year-over-year. And for our in-store, hotel and travel segment, the COVID resilience macro environment with heavily on hotel bookings and travel. In particular, consumer demand for long distance and business-related travel continue to be significantly suppressed. Nonetheless, our in-store business demonstrated great resilience, illustrated by over 30% growth in GTV and revenue year-over-year. Transaction volume, GTV and annual active merchants, continue to reach new heights for in-store business. We have around 20 service categories on our platform, covering a full price range and offering attractive package deals deductions. In current consumption environment and that travel discouraged, consumer shift to more local services consumption with moderate AOVs. Therefore, our in-store business was more resilient to macro. However, in mid high-risk cities with a strict COVID control management for local services merchants, our in-store business was severely impacted. Nevertheless, we saw the business typically recover once COVID control measures became less strict. So year-over-year growth for our primary businesses in January, February, was steady and in line with last quarter, with our in-store business seeing strong consumption demand. Especially in February, we have seen food delivery business growth rate gradually recovered as before and after the spring festival, more consumer order food deliveries for galleries. Transaction volume for leisure and entertainment categories also grew meaningfully during the spring festival holiday. However, since March, Omicron quickly spread in several top tier cities, such as Shenzhen and Shanghai and stricter COVID control policies were implemented citywide. A lot of communities and office buildings were locked down and shops closed growth and transportation and hotel. Therefore, our primary businesses were materially affected in March. And given that these cities contribute meaningfully to our total transaction volume, the continuous COVID control measure will have a greater impact on our primary businesses in Q1. And overall, we will now focus more on high-quality growth and operational efficiency improvement, given the short-term headwinds. Meanwhile, we believe that with normalized pandemic prevention measures, combined with a series of fiscal policy to boost the recovery of economy and consumption, our primary businesses will get back to our normal growth track and achieve steady growth in 2022. Meanwhile for new initiatives, we will be more disciplined and we grow their businesses. On one hand, we will assess new business opportunities from a long-term perspective and invest based on our new retail product technology strategy and long-term business value. On the other hand, we will carefully balance our resources depending on our current cash reserve and cash flow our core businesses. We will prioritize for resource allocation and the majority of our resources will be allocated to boost retail businesses. Importantly, we remain committed and flexible in the investment pace for all these new initiatives. Overall, we will focus more on high-quality growth for our new business, but at the same time, continually improving unit economics and operating efficiency. We expect operating loss from new businesses to narrow in 2022 compared to 2021. Thank you.
Thomas Chong: Thank you.
Operator: Thank you. The next question comes from the line of Mandy Yang from Citic – CS [ph]
Unidentified Analyst: Okay. This is Tanya [ph] from Citic Securities. Thanks management for taking my questions. My question is regarding food delivery business. And how do you view its unit economics and order growth in 2022? And though will your external challenges affect the business long-term growth on order volume growth and profitability. And that's it.
Xing Wang: Okay. Thank you, Tanya for the question. As we mentioned earlier, so first, we are quite pleased with our food delivery performance in last year, even under a very challenging environment. And looking ahead to 2022, I think we maintain a standard of confidence for both the growth and unit economics. On order growth, the inconvenience of food delivery services during COVID control period and the weaker macro environment, affect the effectiveness of user addiction. Therefore, we plan to focus more on exploring and meeting the demand of medium high-frequency users, thereby promoting their transition frequency and thickness. Also, we will accelerate the operation and development of low-ticket sized supplier better meet the needs of representative consumers. In fact, our platform has already accumulated a large number of high-quality users. And in 2021, the transition volume, frequency and thickness of mid to high-frequency users further improved, contribute to the majority of our food delivery orders, as those business have more inelastic demand, stronger spending power. Our food delivery business better withstand the external challenges versus other industries. Furthermore, while COVID control measures we are negatively impacting the order volume growth in 2022. We believe that order volume will gradually pick up right after the control measures are lifted in each media and high-risk areas. This was - this has been proved in plus 2 years because we have been able to see the recovery in those affect areas once the measures are lifted, the recovery speed was actually very fast. The demand was very strong. In the cities where we work with government and feel [ph] consumption launches to consumers, we will also see a faster recovery in transition volume. In fact, trend we have seen again and again in the past. And so overall, we are confident to stimulate the consumption recovery. And once the measures become less strict, we are confident to see the growth, maintain a very strong momentum. In the long term, I think we continue to believe the vision that we share with you and other investors in the past several years that we believe food delivery is a big consumption trend and is continued increased its penetration rate and still has a big room to grow. We continue to stick to the 100 million transactions per day target, and we believe that we are on the right track to achieve that. In Q4, as we mentioned, we achieved over 50 million peak daily transactions, which I think it's a good milestone, halfway to the 100 million transition. But I think more excitingly is during our own experience in the last several years, we did realize how important and how valuable this business could be to the society, to the consumers and to our merchants. So as such, we expect the variety and quality of supply on our platform will continue to improve, enabling us to meet consumers ever growing needs and increasing their frequency. And we will also continue to explore in high quality and low ticket size supplies basically to provide more variety and more models, including the group buying models to help us enlarge the scale of this business. On unit economics, we have always prioritized high-quality growth in their difficult environment. So we expect the subsidy ratio in 2022 to be relatively lower than last few years. Meantime, we expect the advertising revenue to steadily increase. With respect to the merchant support measures, we recently announced for 2022, although it will have a negative impact on monetization rate in the short term, we believe it will benefit the ecosystem in the long run. Again, it's still a thickness [ph] that had relatively low penetration rate, if you compare to the potential, the urban population and also a percentage of the overall food consumption. And regarding the policy concerning courier social security, we firmly and fully support this implementation as we totally understand that taking care of couriers is an important base for this business to operate effectively in the long run. We expect a detailed guidance for occasional injury insurance will be announced and piloted in several provinces probably in a few months. Overall, we remain confident to achieve the profitability target we share with the market and in the long run, and we believe this is a reasonable level to support healthy industry growth. Thank you.
Unidentified Analyst: Thank you.
Operator: Thank you. The next question comes from the line of Eddie Leung from BAML. Please ask your question.
Eddie Leung: Hey. Good evening, guys. Just a follow-up question on your in-store, and hotel business. You mentioned about the near-term outlook. Could you talk about your longer-term strategy and business outlook, especially given recent competition from some of the small, medium platforms, which have a lot of traffic? Thank you.
Xing Wang: Thank you, Eddie, for this question. I understand this probably is a question that many investors also really care about. I think first, I want to emphasize, again, it's based on our track record in the last quarter and maybe last several years, people are beginning to realize the value and the potential of our in-store business, even in the very difficult environment, we still see is a very resilient growth and it's important to their urban consumers and the merchants. We have built a very clear, I think, competence and advantage in this space in terms of our merchant scale, our user reviews with more than 10 billion user reviews on our platform right now and over 200 different in-store service category that you know, adding together provide a very comprehensive platform for both the demand side and supply side. So compared with other traffic platform like in the short-form video, I think we have generated much more price insight, to say heavier over the years. These insights enable us to enrich our product offerings and improve our service quality. And on consumers, we are really the only go-to platform with detail and up-to-date information of millions of local service merchants with very clear brand awareness and consumption mindshare. I think this is a very high entry barrier for our platform just with the traffic. But at the same time, I think we continue to strengthen our competitive advantages by launched complete offerings in online marketing tools with more comparing ROI-driven tools at affordable cost to these small and medium-sized merchants. With our location-based system, we are able to match consumer search queries with local merchants with specific preference or a real-time basis. During the past year, we continue to accelerate our operations and tailor transaction-based products for different types of merchants. I think this is a key reason that our transaction volume can continue to grow high and achieved a historical high scale in Q4. We also proactively you know, and constantly experiment programs to discover new products for new merchants and integrate our internal and external resources through theme based promotion campaigns to quickly generate traffic to merchants for specific category, meeting their promotion needs. I think we are - actually we are very open minded to see that other platform participate to this space because this is proving, this is a huge market, and the merchants have strong demand. But we are definitely the most comprehensive choice for those merchants. For 2022, we plan to continue to cater to the needs of consumer merchants and continue to launch diversified products, especially transition-based products for different categories to better address the emerging needs for the transaction. We will further penetrate into lower tier cities, provide more high-quality supply and optimize our constant display and service fulfillment process. We have few - as you know, we have built a very strong self-operated local business development team before they focus more on the mid to top-tier cities, but now we are planning to further penetrate into smaller cities to help the merchants in those areas. We believe that with these efforts, we will be able to drive fast growth of transitional volume. Our confidence for this segment remains the same as before. And it's further reinforced by its resilient performance despite the recent macro challenges within the penetration is still low and the penetration in different category are different with many relative long tail and potentially high-margin category still yet to really figure out how to work online. This is really - it demonstrate the potential for us to help them. So for those diversified services growth in direct consumption, we are seeing being accelerated and new line staff services continue to emerge with our unique insight. I think we are be able to better identify those emerging categories and provide either standardized or tailor-made services and products for those new categories. We will also effectively be matching new supply of the leisure entertainment life style [ph] services with demand from younger generation and bring more service categories online. The level of digitalization of most local services and low-tier cities are still very low. We will continue to invest and leverage our platform advantages to have them. Thank you.
Eddie Leung: Got it. Thank you very much.
Operator: Thank you. The next question comes from the line of Gary Yu from Morgan Stanley. Please ask your question.
Gary Yu: Hi. Thank you for the opportunity to ask question. I have a question regarding one of your new initiative business, which is community e-commerce. So it seems like the growth rate of the community e-commerce business has slowed down quite significantly when you compare it to the previous quarters. I'm not sure if it is also a reflection that the customer retention rate is probably not that - not ideal compared to management expectation. So have you also reassessed the current market tap of that business? And also finally, the competitive landscape, including long-term unit economics. So how have these changed in the eyes of management? And also, finally, what is the operational plan for Meituan Select in 2022 and longer term? Thank you.
Xing Wang: Thank you, Gary. Well, 2021 was a year of rapid growth for the community e-commerce business and the business also experienced rapid iterations, completing the nationwide coverage of logistics chain and warehouses. We continue to optimize our timely delivery, while enriching the product selection for our users. And we strictly follow the regulation guidance, while maintaining a steady and healthy growth and achieve the market-leading additional skill. And returns [ph] to that has provided us a great opportunity to tap into typical good e-commerce and even a broader consumer retail market. Furthermore, we are still confident about the scale and profitability for community e-commerce in the longer term. The competition for community e-commerce has become more rational due to evolving regulation environment. It has allowed all the players to start building up long-term capabilities earlier, which is then actually conducive to the long-term health of the industry. Although the overall growth rate of the market is lower than expected, we believe under the regulation guidance the methods [ph] to that will develop at a healthy pace and build relevant long-term capabilities for good retail. And during the first quarter of 2022, the value of Meituan Select and other retail business has become even more obvious to us during the recent COVID surge across many provinces in China. And people stay at home and work from home, their need for online grocery shopping also massively increased. Our various retail businesses provide consumers with great convenience, affordable essential foods and other goods when offline shopping became inconvenient or inaccessible, especially in COVID affected cities as Shanghai. And we also continue to optimize our SKU selection. Our price item and price mark-up are all about growing steadily and our unit economics is improving meaningfully. In 2022, we will continue to focus on high-quality growth and allocated resource more efficiently. We are developing long-term capability rather than focusing on short-term growth in scale. We will maintain our market-leading position in the long run rather than focusing on short-term vitalities. Additionally, we will continue to enhance our competitiveness by refining our operational capabilities and providing an optimized customer experience. We will further improve our logistical network and continue to iterate our supply chain capabilities. Furthermore, we will continue to enrich our SKU selection, while maintaining a competitive pricing strategy. We will strengthen our supply chain capability and build up a better group leader ecosystem and allocated resource to – manage a better use experience. By doing so, we will drive the healthy growth of business scale and continuous improvement of unit economics. Moreover, in response to the theory [ph] of promoting e-commerce in rural areas, we will continue to manage into lower tier-cities and open up various channels for farmers to sell their produce and increase their income to further support the rapid development of new talents in rural areas. That's all. Thank you.
Gary Yu: Thank you.
Operator: Thank you. The next question comes from the line of Jerry Liu from UBS. Please ask your question.
Jerry Liu: Okay. Thank you. Thanks, management. Yes, I have a similar question on Instashopping because we saw the strong numbers in the business and management also talked about this end game of everything now. So I just wanted to hear you guys elaborate on the recent performance of Instashopping. And what's the strategy for 2022? What are the priorities and the investment areas? Thank you.
Xing Wang: Okay. Thank you, Jerry for the question. Yes, we do believe everything now is the trend for consumers, and we hope to make everything now brand for Chinese consumers. We are seeing that the Meituan Instashopping achieved a very strong growth momentum first in 2021, we actually have been tracking this trend for a while. And we also expect this trend to continue in 2022. I think on a more longer period of time, we are very confident the Instashopping will be another main consumption channel with our mid-term target reaching over 10 million transactions per day versus for food delivery, we are seeing 100 million transactions today. But the Instashopping seems to growing much faster going forward. Consumers are seeing being more open and use more frequently the on-demand delivery service, a habit that has been progressively and gradually forming. First, I think through the food delivery habit. And then it's further strengthened under the influence of COVID globally. The industry has been growing very rapidly. We see the structure in this train [ph] that inevitably and set to continue as demand falls, allowing us to continue to strengthen consumer mindshare that may trying to leave everything to consumer doorsteps within a short period of time. Our recent performance, Meituan Instashopping further increased user traffic conversion on our platform. And through deepened cooperation with regional chain supermarkets and by exploring new category, we further extended our SKU selection to meet the ever more evolving and stronger consumer own demand needs. During Chinese New Year, specifically, GTV was up to about 80% year-over-year growth, eight, zero percent, with AOV also continuing to rise as we saw explosive demand for C&Y gifts and bulk [ph] purchases, including [indiscernible] gift boxes, et cetera. Other values for gifts such as flower category also reached a new high during the holidays. The trend that our consumers order more diverse range and higher-value products beyond fresh produce and urgent situation has been accelerated by attention such as this Chinese New Year. This year for Meituan Instashopping, we are focused on strengthening consumer mindshare as they go-to platform for on-demand delivery. This is a market size, we believe, over 1 trillion and potential. And currently, we have over 230 million active transition users for Meituan Instashopping alone. If we compare these GTV, GTV of Meituan Instashopping already reached around 12% of food delivery GTV in 2021. In 2022, we will continue to see this contribution grow bigger as the Instashopping will be at a faster growing pace than for delivery. We will also strengthen our collaboration with merchants and brand partners and convert more high-quality food delivery consumers into using Meituan Instashopping. We will bring online more new merchants from category that were previously under penetrated for fulfillment or operation complexity, while increasing SKUs by deepening collaboration with more brand stores in the hypermarkets. We will also continue to accelerate on the supply side to empower merchants on their digital operation. We hope that SKU selection will gradually expand to a wider range of products, allowing consumers to truly enjoy the services of having everything delivered to their doorstep. We truly believe this is a high potential [ph] from a business perspective, but also creates huge value to the society by building on-demand delivery network through our very high order density food delivery services. We have built a very effective and relatively low cost delivery services in the cities that can potentially connect all consumers to all kinds of local retailers and can really help people when needed. For example, Meituan, our pharmaceutics services for consumers to order, say, the medicine you need at the midnight, I think it really creates a word of mouth, a very good experience for consumers and also for merchants. I'm sure this will build a virtual cycle in strengthening the mindshare for everything now, and we are very confident we are on the right track to be Meituan - the brand for that. Thank you.
Jerry Liu: Thank you.
Operator: Thank you, dear participants. Thank you very much for all your questions. I would like now to hand the conference over to our speaker. Scarlett, please go ahead.
Scarlett Xu: Okay. Thank you, operator. Thanks everyone, for joining our call and always thanks to our firm support. We're looking forward to speaking with you next quarter. Thank you.
Operator: That does conclude the conference for today. Thank you for participating. You may all disconnect. Have a nice day.